Operator: Please stand by. We're about to begin. Good afternoon and welcome to the Fluor Corporation's Second Quarter 2016 Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's presentation. A replay of today's conference will be available at approximately 8:30 PM Eastern Time today, accessible on Fluor's website at www.fluor.com. The Web replay will be available for 30 days. A telephone replay will also be available through 7:30 PM Eastern Time on May 11 at the following telephone number, 888-203-1112. The passcode is 3971457. At this time, for opening remarks, I would like to turn the call over to Mr. Geoff Telfer, Senior Vice President of Investor Relations. Please go ahead, Mr. Telfer.
Geoff Telfer - Senior Vice President, Corporate Finance and Investor Relations: Thank you, Tom, and welcome to Fluor's second quarter 2016 conference call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after market close, and we have posted a slide presentation on our website which we'll reference while making prepared remarks. But before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements which is summarized on slide two. During today's call and slide presentation, we will be making forward-looking statements which reflect our current analysis of existing trends and information. However, there is an inherent risk that our actual results could differ materially. You can find a discussion of our risk factors which could potentially contribute to such differences in the company's Form 10-Q, which was filed earlier today, and our Form 10-K, which was filed back on February 18. During today's call, we may also discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. Now, let me turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks, Geoff. Good afternoon, everyone, and thank you for joining us here today. On the call, we'll review our second quarter results and discuss our outlook for the remainder of the year. And I want to start by spending a few minutes sharing our perspective on the markets that we serve. And during the past two years, we have experienced sluggish growth in the global economy and especially weak growth in the industrial production. Commodity prices are volatile. I'm not telling you anything you don't already know, but many geo-political events have created uncertainty which have impacted the decision-making of our customers. When you think about there's been 20 ISIS attacks in the last 12 months, you got Brexit, you got Paris, the climate change accord TPP, and et cetera, all leading to the stagnation of decisions that are being made. Generally speaking, we expect continued slow recovery in the global economy and modest improvement in the EPs and EC&M markets specifically. However, with that negative note, we are seeing capital spending return. We expect customers to award projects at a moderate pace as evidenced by our award of a bauxite project in the second quarter in mining and the award of the recently-announced Tengiz project which we'll book in the third quarter. Despite the challenges of the past 12 months, we've done an excellent job building our non-energy, chemicals, and mining portfolio. Said another way, our three non-commodity-focused segments have backlog of over $22 billion. This represents a 92% increase over this time last year. We continue to focus on becoming a more competitive company. As an example, in addition to the $100 million in overhead that we took out of our business in 2014, we are targeting an additional $80 million this year. I firmly believe the size and diversity of our backlog positions us well for the future. Now let's look at the second quarter results beginning on slide three. Net earnings attributable to Fluor for the second quarter were $102 million or $0.72 per diluted share compared with $149 million or $1 per diluted share a year ago. Consolidated segment profit for the quarter was $230 million compared to $282 million a year ago. Improvements in our industrial infrastructure and power segments were offset by lower mining activity and forecast revisions on two projects in our Energy, Chemicals and Mining segment. Consolidated segment profit margins were 4.7% compared to 5.5% last quarter and 5.9% a year ago. Segment margin for Energy and Chemicals and Mining was 5.1%. The effect of the two forecast revisions in this segment was 1.4%. Revenue for the quarter was $4.9 billion, up from $4.4 billion last quarter and comparable to the results of a year ago. New awards for the quarter were $6.4 billion. Consolidated backlog at the end was $47.3 billion, up 14% from $41.6 billion a year ago. Turning to slide four. The Energy, Chemicals and Mining segment booked $1.2 billion in new awards. This includes a $500 million award for a bauxite mine in Guinea, our first major mining award in over a year. Ending backlog was $25 billion compared with $30 billion a year ago. Looking ahead, we announced a few weeks ago that the TengizChevroil has reached a final investment decision on the Tengiz oil expansion project in Kazakhstan. We're very proud to have been working at Tengiz since 1997, and I'm excited about this Fluor-led JV in supporting TCO in this next phase. We will be booking a multibillion-dollar award, our portion of that award, in the third quarter. Second quarter new awards for Industrial, Infrastructure & Power were $3.4 billion and included the Purple Line Light Rail project in Maryland; South Carolina Port Access Road in Charleston, South Carolina; and the Greensville combined-cycle power plant in Virginia. We've been very pleased with the pace of new awards in infrastructure with four significant project wins in the last four quarters. Bergstrom, the Loop 202 in Arizona as well as the two I just mentioned. Ending backlog for this segment were $12.7 billion, up from $4.4 billion a year ago. Turning to slide five. The Government segment had another solid quarter with new awards of $1.2 billion including task orders for LOGCAP IV. Their ending backlog was $5.8 billion, up from $4.3 billion a year ago. The Maintenance Modification & Asset Integrity segment posted new awards of $664 million. This includes a five-year maintenance alliance contract for six power plants for Southern Company. And their backlog was $3.7 billion, up from $2.8 billion a year ago. Our integration of Stork continues to progress, and we are in a process of expanding Stork's capabilities to additional markets. However, Stork's contributions are more than offset by other declines, including our equipment business due to continued slowdown in mining and delays in construction activities, particularly in Mexico, South America, and Mozambique. With that, I'll now turn the call over to Biggs to review some of the details of our operating performance and corporate financial metrics for the quarter. Biggs?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Thanks, David, and good afternoon, everyone. Please turn to slide six of the presentation. I'll start by providing some additional comments on our second quarter performance, then move to the balance sheet. Revenue for the quarter was $4.9 billion which compares to $4.8 billion a year ago. Revenue gains from Industrial, Infrastructure & Power, MMAI and government were offset by a decline in mining activity within the Energy, Chemicals, and Mining segment. MMAI gains were largely attributable to the Stork acquisition. As already mentioned, this quarter's earnings per diluted share of $0.72 reflect the impact of forecast revisions on two projects. The tax rate for the quarter was in line with our expectations at just under 34%. For the remaining two quarters, we expect the tax rate will be 33% to 35%, although we may have an opportunity to do better than that. Corporate G&A expense for the second quarter was $53 million compared to $48 million a year ago. This increase was largely due to Stork integration costs. While spot commodity prices have improved somewhat, we continue to be diligent on taking costs out of our organization. To put this in perspective, in the second quarter, we incurred $16 million in restructuring costs at the corporate G&A level, including Stork, and another $7 million of restructuring expenses at the segment level. Shifting to the balance sheet, Fluor's cash plus current and non-current marketable securities totaled $1.9 billion compared to $2 billion last quarter and $2.1 billion a year ago. Cash provided by operating activities was $91 million for the six months ended June 30 compared to $204 million for the same period last year. Last year had some unusual items, but this year, project working capital has grown. This increase was driven in part by normal project execution activities and the timing of billings on several projects including delayed payments from our customers. While working capital may still have net growth for the full year, we expect it to decline from these levels. Timing always has a big impact. During the quarter, we paid $29 million in dividends. Moving to slide seven, Fluor's consolidated backlog at quarter end was $47.3 billion. The percentage of fixed-price contracts in our overall backlog increased, from 24% last quarter to 29% as a result of the Purple Line and Dominion Greensville awards Industrial, Infrastructure and Power. At quarter end, the mix by geography was 45% U.S. and 55% non-U.S. I will conclude my remarks by commenting on our guidance for 2016 which is on slide eight. Although we are pleased to see significant awards across our various end markets and the backlog positions us well for the long term, we continue to operate at an environment where customers continue its lower capital investment budgets and delayed final investment decisions. In addition, the backlog burn rate remains low whether by client direction or due to the size and complexity of the project. Having said all that, we would have been in a good position to maintain the previous guidance had it not been for the forecast revisions on the two projects. Taking this into consideration, the company is reducing the upper end and narrowing its 2016 guidance range for $3.25 to $3.65 per diluted share to $3.25 to $3.50 per diluted share. The range has upside to our normalized run-rate for the first half because we think that there are opportunities for one and more favorable items to hit in the second half. So as we mentioned the Purple Line award earlier, you may have seen that it may be delayed for an additional study. These are projects which ramp up very slowly, really not at a high level activity for a couple of years so this would not affect our 2016 guidance. Our guidance for 2016 assumes G&A expense in the range of $200 million to $220 million and capital expenditures of approximately $300 million. We anticipate margins for the remainder of the year in the Energy, Chemicals & Mining group to be in the upper 5% range. Industrial, Infrastructure and Power excluding this scale to be in the 5.5% to 6.5% range, maintenance modification and asset integrity to be around 4.5% to 5.5% range, and government to be approximately 3%. With that, operator, we are ready to take questions.
Operator: Thank you. We'll take our first question from Andrew Kaplowitz with Citi.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Hi, guys. Good evening. It's Alan Fleming on for Andy this evening.
David Thomas Seaton - Chairman & Chief Executive Officer: How are you?
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Doing well. How are you, David.
David Thomas Seaton - Chairman & Chief Executive Officer: Good. Thanks.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): David, maybe you can just start by talking about the – a little bit of noise in the energy, chemical, and mining business. I mean, you've talked a lot in the past about the new structure in oil and gas, and we really haven't seen that much noise in your oil and gas business for quite some time. So I guess seeing the noise this quarter is a little bit surprising. So maybe you can just talk a little bit more about what happened on these two projects, and is this why you've lowered the guidance in EC&M margin for the remainder of the year? Maybe, Biggs, you can talk about that.
David Thomas Seaton - Chairman & Chief Executive Officer: I think it's just simple math in terms of the upper end – lowering the upper end based on these two programs. We're in negotiation with the customers in both accounts, and we're hoping for maybe a little bit better situation as we go forward, but this was the prudent situation to – action to take given the situation. When I think about how we've changed, how we're working in those markets in the new delivery model, both of these projects were bid prior to us having been able to implement the new approach. So I actually believe that the – that what we have in backlog its been bid and is being executed under our new integrated model in a much better position than the two projects that experienced the reforecast. So I feel pretty good about where we are. This is unfortunate, and we're doing all the things that you would expect us to do, but just an unfortunate situation on those two projects.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: To your question on margin rate, those projects have a fairly minor effect on the margin rate in the next two quarters. So I think it's really just more a matter of overall mix that's affecting the margin rates for the rest of the year.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Okay. All right. That's helpful. Let me ask you – switch gears, ask you about bookings. I mean, if you look at Energy, Chemicals & Mining awards, can you put the sizeable mining award aside? You booked about may $600 million to $700 million of Energy and Chemical work, which is generally on par with 1Q. So I know, David, you'll probably say bookings are going to be lumpy, but is this kind of the reasonable level of Energy and Chemical underpinning work that we could expect in this kind of environment, and do you think it maybe marks a low point in Energy and Chemical awards given you said that you're seeing a little bit of increase in capital spending? Maybe just talk about that.
David Thomas Seaton - Chairman & Chief Executive Officer: I will use the lumpy term to start with. It is going to be lumpy, but as we've kind of signaled, there's going to be probably a pretty big quarter next quarter, which is in the back of TCO in that market. What's interesting right now in both mining and in oil and gas is we've seen over the last two years with oil price being down, then kind of pulling back, kind of reprioritizing their capital spend, and now they're to the point where they've got to do some things. I think mining – just pick on mining, I mean, I don't think anybody on this phone expected us to book a $500 million project in mining any time soon. And I would argue that that's the first of several good awards, maybe not quite that size, but we're starting to see some things loosen up in specific commodities. So I think mining has hit the bottom and it was a pretty low bottom. And we're starting to see some improvement in that market. When you look across the realm of energy and chemicals, the same phenomenon is happening. The good projects are still moving forward, evidenced by TCO. Chemicals are still continuing to look at new crackers. In fact, I believe you're going to see probably a new cracker complex per year go to FID over the next several years here in the United States. So I think that all in all, we're going to see E&C kind of start to pick back up based on what we're hearing from our customers and the things that we're bidding on. So, I kind of feel like energy and chemicals kind of hit a low – has hit a low point last quarter or this quarter, but I don't see that as the normal run-rate going forward into next year.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Okay, guys. I appreciate that. I'll pass it along.
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks.
Operator: And we'll take our next question from Jamie Cook with Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning. I'm sorry. Good evening.
David Thomas Seaton - Chairman & Chief Executive Officer: Hey, Jamie.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): David, on the projects in the EC&M business, I guess I'm still not comfortable. This sounds like an execution issue where these fixed price contracts, what percent complete are and why you feel comfortable there's not more to come. And Biggs, I guess my other question is, it doesn't – I'm having a hard time get your margin assumption in back half of the year, like what's changed in EC&M in terms of mix that would drive the margins that much lower. I have a hard time to just – I have a hard time believing there's – this is not related to some degree to these two projects.
David Thomas Seaton - Chairman & Chief Executive Officer: Well Jamie, the first part of your question, one of those projects has achieved mechanical completion and the other one is well down the road in construction. So I think – I feel pretty good about where we are on those two projects. I know you've heard me say that on other occasions, but we've really delved into some of the root cause. And in the...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Are they fixed price?
David Thomas Seaton - Chairman & Chief Executive Officer: Yes, they are. And in the second case, you have some significant weather events that impacted those projects. Those events are behind us, and we know what the effect was. And as I said, we're in negotiations with both customers to try to kind of retrieve some of that loss that we think we deserve, but it's where we are right now.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): And can you tell us the dollar amount associated with what needs to be completed? And then, Biggs, again, there's got to be more than mix that's implied in the back half of the year on your margins in EC&M to get to your new margin forecast versus your old one?
David Thomas Seaton - Chairman & Chief Executive Officer: We're in the high 60% complete range on the other one.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. And then, Biggs, I mean, just help me. The math doesn't make sense, and I'm also having a hard time figuring out the ramp in EPS in the back half of the year versus the first half of the year, how we get to the low end of your – even to the low end of your guidance. I mean, it implies in the back half of the year, we're at, I don't know, $0.90 versus the first half of the year, we've been at $0.70.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Okay. Well, on the margin rate, these two projects are not going to have, as I said, a significant effect on the margin rate yet. The one that's not complete will have some effect on it, but I think, more than that, it's just a matter of risk. But I think these – there's lots that goes in to the forecast of revenue relative to earnings including the phase of the projects, construction phase versus engineering, how much material content there is. It is somewhat subjective, so it's not a precise estimate by any means, but it's our best judgment. And it is driven, as I've said, by mix not a forecast of other issues if that's what you're implying if we thought we had other issues, we book them today.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Well I guess my question is within EC&M are there are other projects that are slowing relative to what you would've thought. I mean the first quarter, you talked about Pemex, you talked about Sasol, is there anything else going on. And then sorry, second half versus first half guidance and then I'll be done.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: So, in terms of slowing, I mean it wouldn't affect margin rate unless it's significantly affected earnings leverage of overheads. So, no slowing wouldn't address your question on margin rate. It's just a matter of overall mix. The standpoint...
David Thomas Seaton - Chairman & Chief Executive Officer: But to answer that, there's nothing else that we see slowing that would impact, just the two that we talked about last quarter.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you. And then second half...
Biggs C. Porter - Executive Vice President, Chief Financial Officer: So...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): ...versus first half.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Yeah, second half versus first half, I mean I wouldn't take the as reported numbers for each of the first two quarters and treat them as a run-rate. I'd go back to the first quarter and I would take out the Stork transition costs and the legal matter that we recorded in the first quarter and you'd add that back I think you're in the mid-$0.80s range for the first quarter, around $0.85. And then if you normalize the second quarter for just the two projects, you're going to be up at $0.88 even if you don't address any of the restructuring costs. So then just take that $0.88 for the second quarter and assume that repeats itself and you're at $1.76, and now you're pretty close to the bottom of the range from that as-reported standpoint for the first half, plus taking the second quarter on a normalized basis and applying it to the next two quarters. And as I said in my prepared remarks, the range we have considers that we're going to have some positive events, we believe, in the second half, which is more the norm for us to have positive events. We do record things fairly conservatively. And more often than not, we have project revisions that are improvement over time as opposed to downward revision. So we don't expect more of those. We would expect more to have some improvements, and there's some areas I'm not going to go through specifically, but I mentioned tax rate. There's a particular – some upside with respect to as well. So we have some things that we think are going to help us in the second half. But as I said, doing the math on the first to the second half, I think you're at the bottom range just by doing it on a normalized basis. And then the fact we have opportunity for some improvement enables us to establish a range above that.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks. I'll get back in queue.
Operator: We'll take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, folks.
David Thomas Seaton - Chairman & Chief Executive Officer: Hello, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: At least your bookings are up.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Everyone has forgotten that, I guess. I guess, importantly, these are pretty big bookings for you guys. How does this all play out as you look into 2017? Are you potentially now looking at a scenario where unexplored (25:34) revenues could actually grow?
David Thomas Seaton - Chairman & Chief Executive Officer: I think so. If you look at – what we're experiencing here is what we've tried to convey over time, and that is the value of the diversity of our company. When a lot of our competitors that are more centered in one or more industries are at lows, then we just keep building. Unfortunately, we had those two issues this quarter. But when you look at what we've been able to do over the last few years is build backlog which will lead to revenue. Now, we've said in the past that these projects are bigger and longer in duration which, to me, is a good story because that means it services us for many years after award. So, I think, we're at the point where we're going to start to see, as we did this quarter, revenue increases. And obviously, the profitability that's there is going to follow that. So, when you think about 2017 is, I think, going to be still a reasonably difficult year just because of the lull that we experienced in new awards last year and the beginning of this year. But as we get in to 2018, 2019, 2020, I think we've got a great growth story.
Tahira Afzal - KeyBanc Capital Markets, Inc.: And, David, when you said difficult year, because nowadays, in this doom-and-gloom scenario kind of macro world, a difficult year means earnings qualitatively down. Assuming – barring execution issues, if your revenues are growing, would it be sufficient to just hold your segment margins where they are and potentially see, qualitatively, a better picture than this year?
David Thomas Seaton - Chairman & Chief Executive Officer: I think 2017 is just one of these things where when you look at the projects, you're in the beginnings of the projects. The example I'll use is the one that Biggs spoke of. I mean, you guys have read the same things I've read about the Purple Line. We weren't expecting really any profitability in 2016 or 2017 on that project just because of how long the tail on those projects are. I'll remind you the Eagle P3 project that we just completed was a 10-year endeavor when we first started that effort. So when you look at 2017, you've got to take into account we've got several projects in backlog that look like Purple Line or P3 that are backend loaded in terms of their profit curve. So I think 2017 is going to be another difficult year. I think we'll be okay, but I would say flattish is a good thing when we look at 2017. But I really believe you're going to start to see profitability growth as we get into 2018.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Flat is good enough for me at this stage. Thank you for answering my questions.
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks, Tahira.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Thank you.
Operator: We'll take our next question from Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good afternoon.
David Thomas Seaton - Chairman & Chief Executive Officer: Hey. How are you?
Steven Michael Fisher - UBS Securities LLC: Good. Once you get through these two projects how do you think about the trajectory from there on EC&M margins per se over the next year? I mean, are we able to get back into the 60s – in the 6s or is the range of possibility still is pretty wide depending on what you book?
David Thomas Seaton - Chairman & Chief Executive Officer: I think it's pretty wide, but as a general comment, I would say that the margin and backlog has improved over the last two years. So I think being able to improve on where we are from this quarter is certainly very possible.
Steven Michael Fisher - UBS Securities LLC: Okay. And then, David, as you head into the part of the year where you're going to be setting your strategic priorities for 2017? How does this latest round of volatility in oil prices in the last several weeks influence your thinking about your mix of business, M&A and then where you want to allocate capital?
David Thomas Seaton - Chairman & Chief Executive Officer: It's a good question. I would say we look at the volatility the same way our customers do, that it's never as bad as it seems. It is never as good as it seems and none of us use spot oil prices or spot commodity prices in our long term planning process. So as I said, I think we've got good visibility into what – obviously what's in our backlog now and good visibility into the things that we think we'll take into backlog for the remaining part of the year. So I would argue that the latest oil price drop, I mean it was back up again today. So it lost what it lost and it gains what it gains and we just keep moving on. I think that the point I'll make is that our customers particularly oil and gas customers, they're basically re-entrenched in terms of $40 oil and those priority projects are still moving forward evidenced by the decision on TCO.
Steven Michael Fisher - UBS Securities LLC: Okay. So, no major changes. Biggs, I'll just ask you one quick one, what is your expected run-rate spending on NuScale in the second half of the year and when will you know about some of these upside items?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well the – NuScale – our number for the full year is still for the $90 million range. So, you can compute from that what it likely take the rest of the year, and I don't know that there is a big difference between the third and fourth quarter in terms of the level of spend. I think it's about the same over both of those quarters.
David Thomas Seaton - Chairman & Chief Executive Officer: And it shouldn't be much different because we will file the DCA at the end of the year. So, spending will continue until then.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Yeah, and that's a good point because that's obviously a very key milestone for us. What was the rest of your question, I'm sorry?
Steven Michael Fisher - UBS Securities LLC: When will you know about some of those other upside items you're talking about, tax and the project type closeouts...?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well, I don't want to be too specific because it could be – the third quarter could go into the fourth quarter. It just depends upon circumstances. So, will, obviously though by the time we get to the third quarter at least, which isn't until 1st of November, we'd have a pretty good idea what's going on with respect to them at that point in time, I would think.
Steven Michael Fisher - UBS Securities LLC: Okay. Thanks a lot.
Operator: We'll take our next question from Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs & Co.: Hi. Good afternoon and good evening.
David Thomas Seaton - Chairman & Chief Executive Officer: Good afternoon.
Jerry Revich - Goldman Sachs & Co.: David, I think the Tengiz project was a nice surprise, I guess, over the past couple of weeks. Can you talk about to what extent you're looking at with your customers' other potential large-scale projects to make sense even at a relatively negative oil price environment? I guess, are you optimistic that there can be additional project decisions like this that are large scale that can move forward in this environment based on the feed work that you're doing with your customers?
David Thomas Seaton - Chairman & Chief Executive Officer: Were you specifically addressing mining and/or oil and gas I may have missed the first piece. You've kind of broke up there.
Jerry Revich - Goldman Sachs & Co.: Yes. Sorry, David. Oil and gas.
David Thomas Seaton - Chairman & Chief Executive Officer: Okay. Oil and gas. Well I mean, as I mentioned, I think we're still in a long term growth market for chemicals, both ethylene complexes and the downstream derivatives. We're starting to see some of those smaller projects start to hit and I think there's a good slate of those that we're working on right now pretty much across the globe to be honest with you from China to the Middle East to obviously here in the U.S. refining there's still several projects out there in refining. Upstream is starting to spin. TCO being an example. I don't want to wear that out. But we're seeing those types of programs and projects starting to see the light of day since our customers have gotten through their reprioritizing process. So, I think as we get in to the end of the year, early 2018, we're going to start to see I think backlog growth begin again in our energy and chemicals group.
Jerry Revich - Goldman Sachs & Co.: And David, what we've seen from you folks over the years when you folks stub your toe on a project, there's a pretty big learning curve that's applied going forward. So as we think about ethylene project that you're bidding on going forward, can you just talk about structurally what you'll be differently compared to these two projects that were issued this quarter? Can you just flush that out for us?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think the learnings have already been applied on how we put projects into our backlog in the last year-and-a-half. In both cases, there were – I would call him special circumstances that created where we are. It's not a systemic problem and we understand the root cause very, very well. So I think we're a learning organization and we're applying those learnings. But I don't think the situations that cause those problems will be recreated in another situation if I can say it that way.
Jerry Revich - Goldman Sachs & Co.: Yeah. And so it wasn't an issue of bid price. It was as project went on. One, you spoke about whether or another one those classifications were different or can you just flush that out a bit more?
David Thomas Seaton - Chairman & Chief Executive Officer: As I said we're kind of in still negotiation with those customers. So I really wouldn't want get in too deep and neither case was a bid price problem. It was an execution problem that was caused by several factors, weather being one, quality of delivery of certain pieces of equipment and that sort of thing what led to the reforecast on those projects.
Jerry Revich - Goldman Sachs & Co.: Thank you.
Operator: And we'll take our next question from Andy Wittmann with Robert W. Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Great. Hi, guys. Biggs, I wanted to understand a little bit more if you could on the SG&A line with the revised guidance here. I think I heard you say that you carried $60 million of restructuring cost in this quarter's SG&A line. So, I guess if I'd strip that out of the second quarter and apply run-rate, we've come in pretty materially below the guidance range that you gave us. Does that imply that there's other restructuring to happen in the second half of the year or what justifies the guidance range of SG&A that you've given?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well, you're right if you take all the charges out, you get down to $38 million, which is obviously a much lower number for the third quarter. There are probably some accrual adjustments in there that might not recur, we'll have to see, depends on stock price volatility and those types of things. To answer your question are there more restructuring charges, there may very well be some more as we go through the year as we continue to take cost out of the organization, sometimes you incur some cost upfront to do that. So I think we're allowing for some that. I think from Stork standpoint, from a integration cost perspective, we have incurred the transaction fees back in the first quarter and some of our consulting cost, we incurred more consulting cost associated with the integration this quarter, but that's pretty much all done. So I don't think there's going to be a lot of additional integration-related cost, but we'll likely to have some right-sizing type cost throughout the organization in the second half but I'm not going to give specific guidance on that.
David Thomas Seaton - Chairman & Chief Executive Officer: We also have some additional expense in the fourth quarter, just things that come in. The fourth quarter is usually higher.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Typically, it's higher. That's a good, Dave. Typically, the fourth quarter is higher anyway.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Yeah. Okay. My next question I guess was on – Biggs, you also talked about some of the working capital that some of the working capital was a bit of a draw. Is that associated with some of these problem contracts that you identified in the quarter that you just need to figure those out with the customer or there's something – you also mentioned just kind of generally, customers are paying more slowly. Can you attribute that to anything the type of customer or the mix of work, the geographic location of the customer, is there...
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Yes.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): ...something happening in the mix of business that's driving this, or...
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Sure. I mean, that's a good question. On one case, it's relatively new contract which there are just some – as frequently happens on the front-end of a contract, some delays in getting invoices structured exactly the way the customer wants and then getting it all converted to cash. In our case, it's just timing, and in fact, we didn't get a payment in shortly after June 30. On one of the ones, it was driving up working capital. And then finally, when you talk about specific locations or issues, Mexico has been a challenge. Pemex has been very slow pay. They've started to catch up, but that has slowed down the pace of cash flow from our joint venture in Mexico. So those are the characteristics of some of them to try to address your question.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. Great. I'll leave it there. Thank you very much.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Thank you.
Operator: And we'll go next to Chad Dillard with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. Good evening.
David Thomas Seaton - Chairman & Chief Executive Officer: Hey, Chad.
Chad Dillard - Deutsche Bank Securities, Inc.: So the government space continues to be a pretty good bright spot for Fluor, and based on the recent bookings you guys have had over the past couple of quarters, can you just talk about some of the prospects you see ahead of you in that space?
David Thomas Seaton - Chairman & Chief Executive Officer: Yes. I think – I'm really proud of that group in terms of what they've been able accomplish in the DoE space. And I think there's a couple of other projects we're chasing there that in the near term we'll hit, and also some extensions to existing contracts in terms of time that will continue to come in as we go through this year. I think in terms of the DoD and the LOGCAP-type business, you're seeing troop levels kind of stay the same, but you're also seeing some other hot spots that we're active on as well as some base management contracts that we're in the process of bidding. So, I think that if you kind of look at that business two years ago and how big our LOGCAP business was, obviously, that's come down. But I'm really pleased with kind of what they've been able to fill the bucket back up with in terms of quality of project and also what the bid slate is. So, we got a heavy bidding period in front of us for the rest of the year.
Chad Dillard - Deutsche Bank Securities, Inc.: Great. That's helpful. And then just moving over to the infrastructure side of the business, can you also just talk about what you're seeing in terms of the number of projects, the size, opportunity? Are you actually starting to see that the market tighten versus some of your competitors?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, think it's a great market in front of us. I still think we need some help from the legislative side of things in terms of funding and a comprehensive infrastructure plan. But one of the things I'm most pleased with is the balance of size of projects that we're going after. So, obviously, we're going to have the big Purple Line kinds of projects and that's kind of been in our sweet spot. But I'm particularly pleased with the South Carolina port project. It's about $200 million project which proves to us that we can be competitive at that level project. Now, when you look at the future, particularly in the United States, you're going to see more $200 million projects than you're going to see $1.6 billion projects. So, we've proven to ourselves that we know how to be competitive on those smaller projects and I think that's where the market is going to be. So, if you get into 2017, 2018, obviously you've got to get past the election before really anything happens. But when you get into 2017, 2018, there's a litany of projects in that $200 million, $250 million range that's in our sights. I'm expecting the infrastructure group to continue to grow both in terms of the big projects because those are the things we're going to always go after, but more importantly, to balance that portfolio with the more moderate size programs. So, I'm really pleased with the changes that have been made there and kind of where we're headed.
Chad Dillard - Deutsche Bank Securities, Inc.: Great. Thank you. That's it for me.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: We'll take our next question from Anna Kaminskaya with Bank of America.
Anna Kaminskaya - Bank of America Merrill Lynch: Good evening, guys.
David Thomas Seaton - Chairman & Chief Executive Officer: Good evening.
Anna Kaminskaya - Bank of America Merrill Lynch: I just wanted to follow up on the free cash flow just what should we expect for the second half of the year. I think you mentioned that you got one of your receivables paid. When will it turn positive again?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Well, I do expect second half cash generation to improve. As I said, working capital should come down in the second half. So, you should interpret from that we expect it to be better relative to income in the second half, so cash from ops to improve on that basis. I didn't think we'd get all the way back to get working capital normalized by the end of the year. So, I have to step back too and say, with some big projects and some big payments, timing always has a big effect. And that's why we don't give cash guidance. The range just ends up having to be too broad to where it's not all that meaningful, but I think that a general assumption that we get $100 million to $200 million of improvement out of working capital on the second half would be reasonable.
Anna Kaminskaya - Bank of America Merrill Lynch: $100 million total working capital, right, not just receivables?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Excuse me?
Anna Kaminskaya - Bank of America Merrill Lynch: You said $100 million improvement. Is it just overall working capital or...?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: $100 million to $200 million of improvement in working capital in total.
Anna Kaminskaya - Bank of America Merrill Lynch: Okay.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: But almost all of our working – I mean, sitting, take cash out of working capital. I'm not sure anything else in there is project related, right?
Anna Kaminskaya - Bank of America Merrill Lynch: Okay. And then, just bigger picture, if I think about just overall terms of contracts, or returns in the oil and gas industry, if you could compare and contrast, what you are seeing now versus maybe what you saw back in 2008 or 2009. Arguably, it's a longer prolonged downturn versus the last downturn. How should we be thinking about what has changed since the last downturn? How should we be thinking about it?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think we're a much more competitive company first. So I think when you look at the integrated approach that we're doing and being able to utilize all of the assets the company has available to it, we've got a better cost model. We've got a more effective and efficient execution approach, and in the same vein, we're seeing improvement in terms of margin and backlog. That's things that we can control. And I think from the outside looking in, it's a highly competitive market. And as I said, you really have to look at us a little bit differently because of the diversity and we're seeing different pressures in different markets based on where they are in their cycles. Clearly, if you go back to one of my previous comments about infrastructure and what I'm pleased about in terms of those smaller projects, well there's a lot more competitors out there that can do that. But the point I'd absolutely make is that there is absolutely no difference in the way we look at our contractual liabilities, what we're willing to accept as well as what types of margin we're willing to accept. And if that causes us to lose some projects so be it, we're going to maintain the discipline, that I think has proven effective over 104 years of our history.
Anna Kaminskaya - Bank of America Merrill Lynch: And just a quick follow-up on your maintenance and modification asset maintenance segment. How should I be thinking about just energy or downstream exposure in that segment versus chemical? And what are you seeing on some of the work that is being let out from your customers?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I mean, it's the same sorts of things that they've been doing in that space. If you think – if you really look at that particular segment, it's about being able to access customers' operating budgets as opposed to capital budgets. And those have not changed, they still have to maintain those facilities and keep those facilities going. So I think by broadening our offering by adding Stork, allowing Stork access to the Fluor world, I see that business growing pretty good over the next several years. But keep in mind it's still a small percentage of the total. But the beauty of it is it's – and I hate to use this term, annuity. But it's almost an annuity style business to where when you think about that and you think about parts of government, that's going to pay the light bills and we're going to be able to grow on the back of the other types of businesses. So it raises, if you will, that sure spending, that sure earnings stream over the longer term and grows that, and then we're able to layer on top of that the capital spend in the different markets that we serve.
Anna Kaminskaya - Bank of America Merrill Lynch: But if I think on a pro forma basis, what is the true oil and gas exposure within that business?
David Thomas Seaton - Chairman & Chief Executive Officer: Oh, within that business?
Anna Kaminskaya - Bank of America Merrill Lynch: Yes.
David Thomas Seaton - Chairman & Chief Executive Officer: I would say it's probably 70%.
Anna Kaminskaya - Bank of America Merrill Lynch: Okay. And is it evenly split between North America and Europe, or is it more skewed towards Europe post Stork acquisition?
David Thomas Seaton - Chairman & Chief Executive Officer: No. It's all over the place. It's the U.S. when you think about the legacy Fluor side of the business. It's South America. It's Australia. Obviously, Western Europe as well as the Middle East. So it's pretty diverse in terms of its geographic footprint.
Anna Kaminskaya - Bank of America Merrill Lynch: Great. Thank you very much.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you.
Operator: We'll take our next question from Rob Norfleet with Alembic Advisors.
Nicholas K. Chen - Alembic Global Advisors LLC: Hi, guys. This is Nick Chen for Rob tonight. Thanks so much for taking our questions. First off, in terms of the Brexit impact you're seeing, how is that impacting your European businesses?
David Thomas Seaton - Chairman & Chief Executive Officer: Very little. It's interesting. It's almost like everybody woke up the next day and the world did not end. But we really haven't seen the spending habits or any of the projects that we're working on change. I think movement might get interesting as we go through time. But remember, Brexit – the eventual end of Brexit won't occur for another two years, my estimation.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: Yeah. The only other effect is – we're talking about Stork's business. Stork does have work in the North Sea, so devaluation of currency does have an effect...
David Thomas Seaton - Chairman & Chief Executive Officer: Right.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: ...on Stork's revenues and income for the year. That's one of the headwinds that Stork has been dealing with this overall foreign exchange environment. It is not a part of your question, but since we're coming close to the end of the call, I'll go back and come back to the margin question that Jaime was asking about earlier because I continue to try to think of how better to answer the question. And I would just say that, to the extent that someone questions whether it's all mix, I think it would be more realistic to make the assumption or being conservative rather than to make the assumption there's something in there we're not talking about.
Nicholas K. Chen - Alembic Global Advisors LLC: Got it. And then just in terms of capital allocation priorities, it seems like buybacks have been pretty minimal this year. What are your priorities right now? Obviously, you have the Stork deal. Should we expect other M&A in the pipeline right now?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, I think we're focused on integrating Stork right now and doing a good job of that. But I still think our priorities haven't changed. We're going to look for opportunities like Stork that are niche in size and in nature that fill a void in our service offering. We're going to look at maintaining the dividend performance that we've practiced over time. And when there's excess cash, then we'll look at other means of returning that to our shareholders, and that still remains our priority.
Nicholas K. Chen - Alembic Global Advisors LLC: Okay. Great. And then just one last question, if that's okay. I was hoping you could comment on labor cost, especially around the Gulf region?
David Thomas Seaton - Chairman & Chief Executive Officer: Well, that's a great question. I think it's basically kind of moderated a little bit. When you look at a lot of the projects that were at least scheduled to go forward that are now delayed and in some cases cancelled, we haven't seen that big glut that we needed. So I think labor cost in the Gulf is pretty stable right now.
Nicholas K. Chen - Alembic Global Advisors LLC: Thanks so much, guys. I'll jump back into the queue.
David Thomas Seaton - Chairman & Chief Executive Officer: Thanks.
Operator: We'll take our next question from John Rogers with D. A. Davidson.
John Bergstrom Rogers - D.A. Davidson & Co.: Hi. Good afternoon. Thanks for fitting me in. I guess, first thing maybe for Biggs, I appreciate your comments about the revenue or the margins. Given the schedule, is there a significant revenue ramp in any of these segments in the second half of the year and how should we think about it between the third and fourth quarter?
Biggs C. Porter - Executive Vice President, Chief Financial Officer: I think that yes, we expect the revenues to go up, but this has been one of the harder things to forecast over the last couple of years.
David Thomas Seaton - Chairman & Chief Executive Officer: Yes.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: So, I don't want to get too far out in terms of being real specific at what we'd expect, but I do think it's pretty reasonable to expect revenues to go up. I think Industrial, Infrastructure & Power looks like it should go up. I think MMAI, likewise, can go up as can the government. I think that Energy, Chemicals & Mining, this is why and it's a little harder to say exactly, but it is quite possible that it goes up and that's one of the things that will affect ultimately that margin rate because...
John Bergstrom Rogers - D.A. Davidson & Co.: Yeah.
Biggs C. Porter - Executive Vice President, Chief Financial Officer: ...the margin is a little more predictable sometimes than the revenue line. It may not...
David Thomas Seaton - Chairman & Chief Executive Officer: (55:14)
Biggs C. Porter - Executive Vice President, Chief Financial Officer: And that makes sense but that's just been the case since, so that's one of the reasons why I went back and I said, it could be that you're still conservative from a margin rate standpoint.
David Thomas Seaton - Chairman & Chief Executive Officer: Right. And I think it's safe to say in the Energy and Chemicals piece, we'll see some increase as we get into next year.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. I appreciate that. And then, David, your comments relative to where we are in the cycle are always useful. One thing I just wanted to check on is when we've gone through downturns before, oftentimes work is booked. And I know you said the problem projects were related to execution not bidding. But you're comfortable with what you've got in that backlog that either these projects or there are others either because they're fixed price nature exposed to some sort of cost inflation that the risk of additional charges either from these projects or others that may have been booked during the slide aren't going to come home to roost?
David Thomas Seaton - Chairman & Chief Executive Officer: No, I don't. I think we're looking at a couple of anomalies in terms of that. I'd go back to what – in Biggs' prepared remarks, we're at 29% fixed price which is – which isn't outside of the norm. And I do believe that the new approach that we've taken, the way we're looking at execution, the way we're looking at supply chain, use of fabrication, the direct hire construction approach, I have more confidence in being able to deliver those projects today than when we kind of started this journey five years ago.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. And then just finally relative to your optimism about a turn in booking prospects and yeah, the mining award in particular was notable. But with TCO, is that what you're hearing from the clients that they're getting to the point now that they're – I don't know, either comfortable with the world or whatever that they can move forward with some of these projects, is that's what's giving you the confidence?
David Thomas Seaton - Chairman & Chief Executive Officer: Absolutely. The conversation I'm having, I mean it's okay, we study this enough, and they're coming up with the same answer they came up with before. And they're finally saying, let's get on with it because they need those reserves added to their base or they're not growing, in terms of replacement of whether it's gas or oil. I think that as I've said, I think they've gotten comfortable with the new $40 or the new $100 I guess is at $40.
John Bergstrom Rogers - D.A. Davidson & Co.: Yeah.
David Thomas Seaton - Chairman & Chief Executive Officer: So in those conversations that I've had, some people are saying well, I really don't need to spend any capital in the next year or so, but man, I'm going to have to catch up later which I think concerns me a little bit because as we saw in that last boom, there was hyperinflation, there was no customer happy, and it didn't do anybody in our industry, in the service industry any good. So, I'm kind of hopeful that they stay with a good regimen and approach, and a good solid march forward in terms of bringing those capital programs to FID as opposed to a herd mentality and you see a glut again. Because I don't think that's good for anybody.
John Bergstrom Rogers - D.A. Davidson & Co.: I hope you're right. I mean, are these year-end decisions you think or just spread through...
David Thomas Seaton - Chairman & Chief Executive Officer: I just think they are normal decisions as we go over the next couple of years. As I said, I think when you look at the cracker complex, this is an example. I think there's several years – one a year going to FID. I wouldn't say it's any particular quarter, but I think it's pretty positive momentum, if you will, that supports at least a little bit of enthusiasm. I'd probably moderate your description of enthusiasm a little bit. But I think there's good things out there and I think we're in a good place to be competitive.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. I'll get back in queue. Thank you.
Operator: And ladies and gentlemen, that does conclude our Q&A session for today. At this time, I'd like to turn the conference over to Mr. Seaton for any closing remarks.
David Thomas Seaton - Chairman & Chief Executive Officer: Thank you, operator. And I really appreciate everyone participating tonight. As I said in my opening remarks and throughout the Q&A, commodity prices remain volatile. And I think this, along with some uncertainty that's created by some geopolitical issues is causing some of our customers to maybe extend that decision. But at the end of the day, those final investment decisions will be made. I'm pleased to see the progress in our ability to diversify the backlog as I mentioned, beyond just a commodity-focused segment. But I also believe that our sound capital structure, our discipline around cost and the flexibility that we have in operations allows us to make some strategic investments for the long term. I believe our integrated solution approach is continuing to produce positive achievements and the performance improvement in engineering, supply chain, construction, I think the overall scheduled delivery that we're seeing has been well-received by our customers. With that, I really appreciate your interest in our company and the confidence that you place in us, and I look forward to speaking with all of you soon. I wish you all the best. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation.